Operator: Greetings. Welcome to Valmont Industries, Inc. First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. We ask that you please limit yourself to one question and one brief follow-up question and return to the queue. Please note this conference is being recorded. I will now turn the conference over to your host, Renee Campbell, Senior Vice President of Investor Relations and Treasurer. Ms. Campbell, you may begin.
Renee Campbell: Good morning, everyone, and thank you for joining us. With me today are Avner Applbaum, President and Chief Executive Officer; Tom Liguori, Executive Vice President and Chief Financial Officer; and Tim Francis, Chief Accounting Officer. Earlier this morning, we issued a press release announcing our first quarter 2025 results. That press release and the presentation for today's webcast are available on the Investors page of our website at valmont.com. A replay of the webcast will be available later this morning. We'll begin today's call with prepared remarks and then open it up for questions. Please note that this call is subject to our disclosure on forward-looking statements, which is outlined on slide two of the presentation, and will be read in full after Q&A. With that, I'd now like to turn the call over to Avner.
Avner Applbaum: Thank you, Renee. Good morning, everyone, and thank you for joining us. I'd like to start with first quarter highlights summarized on slide four. Demand across most of our markets has remained resilient amid a dynamic macro environment. Secular megatrends such as the energy transition and infrastructure investment continue to create meaningful opportunities for our business. While pockets of the business are more exposed to economic pressures, overall order activity and volume growth remain healthy as reflected in our growing backlog of $1.5 billion. We're confident in our ability to manage through disruptions, while positioning the business to capture long-term growth. While consolidated net sales were down slightly, they increased modestly on a constant currency basis with both operating margins and earnings per share remaining stable. Our financial performance is a result of our disciplined execution against our strategic priorities. We streamlined the organization to operate more efficiently and our operational and commercial excellence initiative and are delivering tangible results. Driven by continuous improvement culture, or strengthening our position, to grow as certain markets recover. Importantly, our market leadership and commitment to deliver premier quality and service to our customers continues to set us apart in infrastructure and agriculture. We're also actively mitigating near-term tariffs. With twenty-four manufacturing, and eighteen coatings facilities across the United States, we're well positioned to meet domestic demand. A few years ago, we began implementing a local-for-local supply chain strategy to better serve our global customers and network is paying off helping to reduce our exposure today. We're also seeing success from other proactive efforts across the business. Tom will share more detail later in the call. Turning to slide five. I'd like to share an update on a few of our 2025 critical objectives that I introduced last quarter. We're executing our strategy to catch the global infrastructure waves by expanding capabilities and optimizing capacity across our footprint. In the first quarter, we invested approximately $30 million in CapEx, a significant portion directed towards increasing utility production. Our expansion in Brenham, Texas is progressing as planned and is expected to be fully operational by year-end. We're prioritizing high-return capacity expansion investments scaling up our existing facilities to operate with greater efficiency and capture future growth. This quarter, we continued equipment upgrades in Tulsa, Oklahoma, also started new productivity investments at our manufacturing facilities in Florida and Kansas. Our second objective is positioning our agriculture business for long-term growth. Lower crop prices have pressured global ag markets, and their farm income since late 2023. While conditions remain challenged, we're using this time to enhance our competitive strength including dealer excellence, production and aftermarket capabilities and customer-centric innovation. These efforts will position the business to stronger when the cycle recovers. As an example, expanding our aftermarket parts business is a key priority delivering high-margin revenue. New e-commerce platform enhances the customer experience with faster access to a broader range of parts, and seamless direct ordering. Additionally, our new AgTech platform, Accent 365, has received positive early feedback for its performance, and ease of use. We're very pleased with customer adoption rates, and initial benefits are tracking in line with our growth plans. As the market leader, investing in digital tools for more precise irrigation is essential. We're helping growers increase productivity, with fewer inputs, improving yields, and resource efficiency. We're also allocating capital and talent with discipline and our focus on ensuring resources are directed where they can have the greatest impact for our customers, and our business. Our people at the center of our success investing in their safety, well-being, and talent development is essential to our future. Our progress on these five objectives, reflects the dedication of our global Valmont team. I'm proud of what we achieved together. As we continue to execute, 2025 is shaping up to be a pivotal year that positions us for long-term success. Now turning to slide six, an infrastructure market update, starting with utility, our largest product line. The business continues to show healthy volume growth driven by long-term demand drivers such as rising energy usage, and the need to replace aging infrastructure. Our focus on value-based pricing and commercial execution has driven strong performance in a capacity-constrained environment. The capacity additions mentioned earlier will begin ramping the second half of this year setting us up well for continued growth. Moving to lighting and transportation. US transportation demand remains strong. Lighting markets have been soft but we're starting to see stabilizing order trends. Consistent with historical patterns, roughly 40% of total L and T sales are international, where we're expecting mixed regional market performance this year. Our coatings business serves a variety of markets and typically follows industrial production, and regional GDP trends while also supporting our internal demand. Growth in North America was offset by a softness in international markets. Telecommunication sales are growing as carrier spending has recovered from softer 2024 levels. Our components business leads the market with exceptional customer service, and a product portfolio that aligns closely with carrier programs. Our geographic presence is a key competitive advantage with eleven strategically located warehouses and enabling next-day delivery to most of the US market. Looking ahead, telecom has a positive long-term outlook supported by ongoing network expansion modernization efforts, and the need for greater connectivity. In solar, as expected, sales declined this quarter reflecting softer market conditions and our strategic decision to exit lower return projects. In the US, policy uncertainty impacting market activity. However, current European regulations are driving industry innovation and the adoption of agrivoltaic application that I mentioned last quarter. Our team remains focused and agile in advocating this dynamic environment. Across the portfolio, we serve customers and markets aligned with multiyear secular megatrends. Our capacity and capability investments address the growing complexity of customer demand and where our expertise brings the most value and It reinforces our market leadership while positioning us for long-term growth. Turning to slide seven for an agriculture market update. North American market conditions remain challenged. Corn and soybean prices, which are key indicators of demand, are projected to decline mid-single digit this year. These factors along with ongoing trade policy uncertainty, causing farmers to be more cautious capital investment decisions. In the meantime, our Valley dealer network is working closely with growers to ensure we're ready to meet their irrigation needs. As the cycle improves. We're leaning into our strategy to grow strategic account partnership by deepening relationship with large growers. These collaborations reflect our unique strength and ability to deliver meaningful, scalable solutions. In Brazil, our largest international market, our sentiment is improving. We're encouraged by early signs of market stabilization including a return to volume growth in the first quarter. Earlier this month, we welcomed our Brazilian dealers to our Nebraska facilities to share best practices align on priorities, and strengthen collaboration. I was once again reminded of the impressive industry knowledge and customer relationships of our dealers which reflects their deep passion for the business. The team is energized. They're looking forward to the annual AGGRESSO next week, and remain confident in the long-term opportunities in the region. International projects are a bright spot for our business. In the Middle East, demand is strong as nations place the highest priority on building sustainable resilient food system. The $45 million project we previously announced is on track and our robust pipeline in the region continues to grow. To meet rising demand, our Dubai manufacturing facility has nearly doubled its output from a year ago. Our strong dealer network, and proven ability to execute large-scale projects gives us competitive advantage. We're proud to play a vital role in addressing the global need for a secure, sustainable food supply. Our irrigation solutions help growers do more with less, demonstrating Valmont's ability to deliver meaningful value. In summary, we've had a good start to 2025 despite a dynamic economic backdrop and the actions we're taking to improve performance, give us confidence in delivering strong results this year and beyond. I'll now turn the call over to Tom, to review our first quarter financial results and 2025 outlook.
Tom Liguori: Thank you, Avner. Good morning, everyone. Our team operated well in a rapidly evolving environment during the first quarter, We continue to make progress with our capacity, and margin expansion initiatives. I want to thank our team for their actions to control costs in the first quarter and the work performed to mitigate tariffs. Their efforts are helping to secure solid financial results. For full year 2025. Turning to slide nine. First quarter net sales of $969.3 million decreased 0.9% year over year. Gross margin of 30% decreased 130 basis points from the prior year. The decrease was in our agriculture segment, primarily due to a higher mix of international projects that carry lower margins. The gross margin decline was largely offset by lower SG&A due to cost reduction activities. or 13.2% of sales. Below the line, interest expense decreased due to lower debt. We incurred $2.7 million of other expense. Primarily due to foreign exchange impacts. Our diluted earnings per share was $4.32. In line with prior year period. Our first quarter results include $3 million of costs for tariffs or $0.11 per share. Turning to the segments on slide ten. First quarter infrastructure sales decreased 2.4%. Growth in telecom and utility was largely offset by significantly lower sales in solar along with softer results in lighting and transportation. Utility sales increased 2.4% driven by higher volumes, and higher average selling prices. Sales of concrete distribution structures were impacted by a strategic shift by a key customer. Which reduced volumes at that facility. This was a project-specific decision with no impact on other concrete operations. Our utility backlog remains strong, and we're actively supporting our utility partners with their long-term grid hardening efforts. Excluding concrete, our steel utility business grew 8% year over year. Lower sales in lighting and transportation, hand coatings, were primarily due to softness in international markets. Our telecommunications business saw strong sales growth of nearly 30%. Driven by favorable carrier spending. Solar sales declined by more than 50%, reflecting lower volumes, including the company's strategic decision in 2024 to exit low-margin projects. Infrastructure operating income decreased slightly $117.2 million Operating margin improved 30 basis points to 16.7% of net sales. The improvement was largely due to lower SG&A expenses. Moving to slide eleven. First quarter agriculture sales increased 3.3%. An increase approximately 6% on a constant currency basis. In North America, irrigation equipment volumes, and selling prices were lower due to continued market softness amid lower grain prices. International sales increased significantly led by strength in the EMEA region, and higher volumes in Brazil. Agriculture operating income decreased to $36.2 million or 13.6% of net sales Lower gross margin due to the higher mix of international projects was partially offset by lower SG&A expenses. Moving to slide twelve, and our cash, liquidity, and capital allocation priorities. Our liquidity remains strong. Ended the quarter with $184.4 million of cash and approximately $800 million of available liquidity on our revolving credit facility. We generated operating cash flow less $65.1 million, through earnings and lower inventory. Our net debt leverage was below one times. We remain committed to a balanced approach to capital allocation. Deploying approximately half of our capital toward reinvesting in our business and the other half to shareholder returns. In the first quarter, we invested $30.3 million in CapEx, primarily to expand capacity in our infrastructure segment with a focus on utility. We are pleased with our progress in expanding our manufacturing capacity for the coming years. We expect that for every $100 million we invest in capacity, we can generate over $100 million in annual new revenue. And $20 million plus an operating income. Delivering over a dollar of diluted earnings per share. We returned $12 to shareholders through dividends, We and announced a 13% dividend increase during the quarter. In addition, we initiated the trading program in the first quarter to begin executing our $700 million stock repurchase program. The program included a 30-day waiting period so repurchases began in the second quarter. So April 18th, we've repurchased $59 million of shares in the second quarter. At an average price of $269 per share. Turning to our 2025 outlook on slide thirteen. We are reaffirming our full year expectations. Net sales are projected to be in the range of $4.0 to $4.2 billion. Diluted earnings per share is expected to be in the range of $17.20 to $18.80. For second quarter, we expect both sales and earnings per share to be above first quarter levels. While we are maintaining our 2025 guidance ranges, we now expect full year EPS to land above the midpoint. Inclusive of tariffs. Regarding tariffs, our outlook includes tariffs as of April 18th. Always keep in mind for US-based customers, the vast majority of products shipped to them come from one of our twenty-four manufacturing facilities. Facilities in the United States. Significantly reducing our exposure. When we started assessing potential tariffs, impacts earlier this year, we estimated our total gross exposure could reach $80 million. In response, our teams developed, and are in the process of implementing comprehensive plans to mitigate the impact of tariffs this year. Starting with price. As a market leader in both segments, we are working with customers to fairly reflect the increased cost of tariffs and pricing. We've increased the use of US-sourced steel in our Mexico operations. And shifted some coatings work to our own US-based galvanizing facilities. Products from our Mexico plant remain USMCA compliant. With the majority of steel US melted and poured. Our supply chain teams are focused on local sourcing. As well as working with suppliers on cost-sharing initiatives. We are working with US suppliers to provide components that were previously sourced internationally. Lastly, we are using advanced tools to improve scheduling, and drive higher productivity in our Mexico operations. We believe these actions will enable us to be cost neutral with respect to tariffs on a dollar basis in fiscal 2025. Beyond mitigating tariffs, we are also taking actions to further optimize our cost structure. Our teams are focused on efficiency and productivity improvements in both our factories, as well as back-office operations. Our procurement teams are actively working to reduce our spend on indirect materials and services. At corporate, we are closely evaluating our use of outside service providers. With the intent to leverage our internal talent in to perform more work in-house, more cost-effectively. Results so far promising. And we believe the savings will be sustainable beyond 2025. We truly believe that the work our teams are doing to mitigate tariffs and optimize our cost structure makes us a stronger company that would benefit Valmont for years to come. To summarize on slide fourteen, we remain optimistic about our 2025 outlook and beyond. Our teams are executing well. With businesses aligned to end markets supported by long-term global megatrends. For advancing growth initiatives, managing tariffs, driving cost efficiencies, and investing in capacity to better serve our customers. With clear competitive advantages, a focused strategy and strong cash flow. We are well positioned to create lasting value for our customers, employees, and shareholders. I will now turn the call over to Renee.
Renee Campbell: At this time, the operator will open up the call for questions.
Operator: Thank you. At this time, we'll be conducting a question and answer session. You may press star two if you would like to remove your question from the queue. And for participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. To allow as many questions as possible, please limit yourself to one question and one follow-up. One moment while we pull for questions.
Avner Applbaum: Yeah. Good morning. This is Adam Farley on for Nathan Jones. I wanted to start with pricing actions.
Adam Farley: Have price actions been implemented to offset all of the tariff impacts to date? And is there any type of lag that we should expect from pricing?
Tom Liguori: Well, first of all, I think the team did a really good job on mitigating tariffs. And I want to reiterate, you know, for the total year, we'll be cost neutral, which we believe is very positive. And it'll be cost neutral for both segments. It'll make us have a strong second half. To your question on pricing, you know, we mentioned that we had $80 million of tariff exposure. About half of that is through pricing, and the other half is through really supply chain movements and activities to avoid tariffs. You know, I think as you look through the year, and you look at our guidance, we expect higher pricing possibly lower volumes that's included in our guidance but we feel very good about where we are. With respect to lags on pricing, yeah, things that are in backlog are generally not repriced. So you know, in utility, the bid market, that's pretty much, you know, immediate passed on. Backlog will we'll see the effect on that more in the second half as we have new orders being produced. Hope that helps.
Adam Farley: Yeah. That's very helpful. Maybe shifting to telecom. I mean, a really strong quarter here. Thirty percent growth. In telecom. You know, how should we think about that business for the rest of the year? I mean, do we should we expect, you know, this normalization to continue? Or are there any early signs of maybe carriers' deferring spending?
Avner Applbaum: Hey. Morning, Adam. So overall, we're very pleased with our Q1 growth of over 30% in telecom. So we've definitely seen stabilization after a couple of years where carriers reduce their spending. And now the carriers are continuing to spend, and focusing on the 5G upgrades, on modernization, expansion, etcetera. So our order rate rates continue to be strong. And I believe the carriers will continue to invest I mean, they're investing in the future, You know, if you look at and we're tied very closely with a lot of their investments and their programs. You know, I'll give you an example, AT&T. They're focused on the multiyear ramp transition, and we're well equipped to support them in their growth, and that's been a lot of our demand. In fact, if you see this morning, just Verizon came out with their earnings and they reaffirmed their CapEx then and their outlook for the year. So I'd say overall, we're gonna keep on monitoring the order intake pretty closely. But the carriers are continuing to spend and we believe they're focused on the long term and we will continue to support them and we're well equipped to do so.
Adam Farley: Great. Thank you for taking my questions.
Operator: Our next question is from Chris Moore with CJS Securities. Please proceed.
Chris Moore: Hey. Good morning. Thanks for taking a couple. Yeah. So on the steel side, it sounds like you're talking about pricing as of 4/21. Just theoretically, if steel does increase meaning from here, does that just you know, you can't reprice some of the backup. Does that just push out know, that some of the 2H earnings a little bit further?
Tom Liguori: Yep. This is what we're seeing. You know, prices for steel went up. They're starting to moderate. If you look at futures in the second half, they've actually come down. So that is affected in our guidance. But, you know, we visited a steel supplier in the last two weeks, the largest plate producer in the US. And they have capacity. They invested in their plant in Houston. Houston is close to our Brenham and Monterey facilities, so we're talking to them about know, how can we use their steel at a lower freight cost? They're also talking to us about more value-added operations that they can perform, like cutting the steel, doing some base plates, So, you know, whereas February, March steel was very volatile, I think we have a better line of sight and road map to where we'll be. Toward the end of the year. And net net, I'd say is positive to us.
Chris Moore: Got it. Very helpful. The EPS guide stayed $17.20 to $18.80. It sounds like you have more confidence that you'll get above that midpoint. Is that a margin discussion? Are you more comfortable you get closer to the high end of the revenue guide? Just, you know, any thoughts there?
Tom Liguori: You know, we think we have a good shot at being above the midpoint for both revenue and EPS. And we feel better today. We're in a better position today than we were during our earnings call because of the work on tariff mitigation. But just as importantly, you know, we've taken a fresh look at our cost structure, and the results are promising. That is not included in our guidance, and it could be upside later in the year. But let me just talk a little bit about the cost initiatives. We're looking at the productivity in our factories. Avner and I went to, Monterey earlier this quarter. We're really happy with the improvements being made there. Know, we're focused on making sure they have steel and material in their first operations all of their time, get a better flow through Monterey. We have a lower, you know, average, cost per pulse, so to speak. Went through our El Dorado facility, same story. We're investing in CapEx. For capacity, but it's also gonna improve flow and improve our cost. But it's not just in factories. You know, we're looking at our back office. We're looking at our organization. Know, we have an effort underway in corporate to take a look at Stew at Zero Based. What really should be done in corporate? What should be done in segment? What should the cost of that be? And, you know, just as important, we're working with our suppliers. I'm really happy with the progress they've procurement teams on both steel, which we just talked about, but with our indirect. And when we look at these know, cost initiatives, you know, altogether, they could be quite sizable, $15 to $20 million once they're implement So we're in the early stages of that work, but, you know, we feel that it's in a good place. And that's why we're pretty confident about our total year 2025 and beyond.
Chris Moore: Perfect. I'll leave it there. Thanks, guys.
Operator: Our next question is from Brent Thielman with D. A. Davidson. Please proceed.
Brent Thielman: Hey, Greg. Thanks. Good morning. Had a question on the infrastructure segment. It sounds like you know, pretty solid demand across the board in the US But I was curious just on the international sales exposure that you have. Are there some areas that you're monitoring? You know, what's sort of handicapped in the guidance from a demand perspective for that business group in particular?
Avner Applbaum: Hey. Good morning. So overall, you know, we do we're a global company, and we do operate in global markets. And, you know, what we noted in the call is we had a slow start to the year mostly in our Asia Pac, specifically in Australia. Coming into the year, we had a weak backlog mostly on the lighting side, and it's just took a while for that to pick up. And we are positively we're happy about what we're seeing now in that business. The order rate has been improving in that region. And on top of that, you're also seeing the Australian government spending more money in infrastructure that helps our business there as well. So, you know, we're just wanna monitoring all the markets that we participate in. Our results in Europe are actually pretty solid for the quarter. So it's mostly around Australia, The lighting is where I'd highlight, but we're pleasantly we're happy with where we're seeing that the order is trending today, and that is all factored into our guidance.
Brent Thielman: Okay. Appreciate that. And then maybe just on ag, you looked Brazil been a meaningful market for you and preceding years. It sounds like you're starting to see some green shoots there, Avner. I don't know if you can elaborate on maybe the order trends you're seeing in that market, if this is a true recovery or just some catch up I know you had a tough year last year there, but curious any comments you have around Brazil.
Avner Applbaum: Yeah. So, you know, I mentioned we had the Brazil dealers here in Omaha last week. We actually had a great meeting and conversations with our dealers there. And, you know, we believe it kinda bottomed out in Brazil and, you know, after a tough year, we're seeing stabilization. We're seeing order activity increasing. Into Q1. Q2 should also be a strong quarter for us. But, yeah, it's still not has recovered. I mean, the margins are still under pressure there. The soy the EBITDA margins are not as high as they were in the past, but improving. They're still profitable. And we're investing with our dealers in our growth and the potential, and we know that that region will drive growth in the future. You know, in fact, I have an opportunity to speak with leading economist from Sao Paulo and a former executive from the Brazilian market And while they're cautious about the short term, very excited about the long term, you know. Even if there are more of these trade tensions, between US and China, you know, Brazil is gonna benefit from that. The overall global demand is not gonna decrease. And even if it stays the same and the US farmer could negatively impact it, the Brazilian farmer will benefit from that, and they're investing there in infrastructure and in investments to support the growth. So, you know, we'll continue watching it. There's not a strong back over there, but we're pleased with the order activity improving. And, you know, on top of that, we also have our Middle East Africa project pipeline. That is very strong. That is robust. We're having a strong year in that area, you know, around the food security and countries are continuing to invest there. So I'd say even with a weaker North America, environment where we should expect Brazil into and the rest of the world to the weakness. Overall, pretty positive signs, and we'll keep on monitoring that.
Brent Thielman: Very good. Thank you.
Operator: Our next question is from Jon Braatz with Kansas City Capital. Please proceed.
Jon Braatz: Good morning, everyone. Good morning. Avner or Tom, you know, relative maybe where what you were thinking early on in the year, is your expectation for the North American irrigation market a little weaker today than three months ago?
Avner Applbaum: Short answer is yes. We're gonna expect a tough environment. You know, in this type of uncertainty, the US farmer as we all know, he's gonna wait on the sidelines, and we see that, and we didn't expect to have a good year, and it's gonna be a challenging year for us. Having said that, you know, we're not gonna sit on the sideline. We continue to invest. We're investing in technology. As I mentioned, we're very pleased with the early adoption of our Accent 365 with our Icon solution. Connecting more of our pivots, creating that ecosystem, providing the grower with value proposition, making sure their equipment is up and running when they need it, and irrigating optimally. So and focusing with our strategic accounts. So we can we're gonna continue to invest. So when the market recovers, we'll be ready to execute But we should expect a tough year in North America in the ag market.
Jon Braatz: Okay. Tom, just a point of clarification. You mentioned in the first quarter tariffs cost you $3 million And your expectation for the full year is for it to be cost neutral Are you suggesting that you're gonna recover those $3 million in cost in the last three quarters of the year?
Tom Liguori: Yes. Yes.
Jon Braatz: Okay. So tariffs are a positive then. For the rest of the year.
Tom Liguori: Yes. For the okay. Alright. Alright. Thank you very much.
Avner Applbaum: Yeah. Amy, I'll just add a little bit more color on the tariffs because, you know, it's obviously top of mind. I do want to point out and use this opportunity that I'm very pleased with the work our teams have done to manage the impact of tariffs. You know, they operated with a sense of urgency, you know, tariffs not new We've been dealing with tariffs for as a global company for decades. And we just got on it and you know, Tom gave all the detail about mitigating it, you know, as you think about us as a company and you know, with our presence in North America, I mean, our engine needs structures, they're heavy. Right? So if you think about it, but by almost by definition, we're not gonna be importing things from around the world. So, you know, our footprint here is in North America to support North America. We took these actions to local for local. And overall, mitigating their role. So I do want to use that opportunity just to say a very nice job by the team mitigating it.
Jon Braatz: Okay. Thank you.
Operator: Our next question is from Brian Drab with William Blair. Please proceed.
Brian Drab: Hi. Thanks for taking my question. I first wanted to see if you could just put a finer point on the expectation for volume growth in utility and L and T this year. And what is specifically, what does the highway market look like and in 2025 and should we stop asking about are we gonna see, you know, impact from the highway portion of the infrastructure bill? Or is this the year?
Avner Applbaum: Yeah. You know, I'll set up with the high level. You know, for the growth for the year for Valmont, you know, we have high level of confidence in our forecast. I'll just give you the main factors is why we feel confident about our growth. You know, we're going into we have a we have a billion and a half of a backlog which has increased, over the quarter. Just reflecting the strong demand we have in the utility space, in our projects in Middle East, You know, on top of that, we continue to invest in capacity Our capacity investments, they're ramping up. They're gonna support our growth as well. Specifically on the lighting and transportation. Right? The lighting activity started off. We had a slow start to the year, but the order rate has been improving for us, so that is a positive sign. Although the lighting business will be impacted, over the long term from pressure around, you know, for recession is to have. Around the transportation, that's been solid. Solid demand for us over the last several years to your point. You know, how much of that is driven by the infrastructure app It's hard to see exactly, but that does support continued strength for us. In that business. And overall, you know, we mentioned the pricing, the actions that we took that support sort of our outlook. So overall, you know, it's a dynamic environment. So we'll keep on managing and monitoring, but a lot of our business, they just they have long-term drivers and long-term megatrends. And those are not changing. You know, the need for energy connectivity, hardening, food security, border scarcity, all those long-term drivers are there. And we're operating with discipline, and we're positioned to capitalize on them and continue to drive growth.
Brian Drab: Okay. Thank you. I'm just trying to gauge, you know, which of your businesses are what your it's actually expectation is for volume growth or decline in the businesses in 2025 just because, you know, you're forecasting sales to be flat for the year. Really, at the midpoint. And I know there's strength. You were talking about strength in some segments. And it's soft in domestic irrigation. So I'm like, for example, I guess domestic irrigation is gonna be down volume, but international irrigation is gonna be up. With strong international project activity and Brazil recovering. I just don't know on the how you know, can you can you make any more precise comments on what your expected expectation is for volume growth or decline? Are we expecting a because we just started off the year down for L and T. You know, significantly Is that a business that we think by the end of the year can actually see volume growth? Or is it gonna have a challenged year? And I'm just wondering that for all the subsegments.
Avner Applbaum: Yeah. You know, I'll just give you the high level. You know, when you look at the infrastructure, we should expect mid-single digit, volume growth for the infrastructure With expecting you know, with the exception of solar, we should see growth in each one of those businesses on the volume side and overall very close to our long-term targets of mid-single digit plus. And that is after accounting from some of the deselections we've done this last year, the strategic deselections to improve our business performance, with FX headwinds. So overall, you know, we should have a good volume growth and sales growth in infrastructure. So hopefully that answers your question.
Brian Drab: Okay. And then the last question I have is how has your if you could give us any insight into how your impression of your tariff situation, your USMCA compliance, has changed given, you know, that you did highlight you know, how you have the significant shipments from Mexico into the US and at first, you thought they wouldn't be tariffed if it was US steel, then maybe it was gonna be tariffed if it's US steel. Now, you know, how has what has changed in the clarity you've been given in terms of USMCA compliance, I guess? And I don't know. Just any insight into how that is played out and, you know, your impression of those rules that you have to play by.
Tom Liguori: Brian, our Mexico operations are USMCA compliant. We feel very good about that. And, you know, I would just add, you know, we're all concerned about the economy. We're all concerned about tariffs. And every day we come into work, and we manage the tariffs, and we manage our cost. And if events change going forward, well, we manage the tariffs going forward. But while we come in every day to look at tariffs and costs, focused on the long term. And I think that's something that you know, we really want to get across in the call. Think about everything that we've talked about just on the call so far. We talked about cost work that could be $20 million or above. We talked about expanding capacity to meet able to meet this volume growth in utility and every time we spend $100 million, we'll get a dollar EPS going forward. We're actively repurchasing our shares Our share repurchase authorization is $700 million, that's over 10% of our market cap especially today. We know we have some upside in international ag. And that's both on our tech products and more. So, you know, we feel that we're managing through the near term. We're concerned about the economy. But think we're putting in actions that are very accretive to EPS. Over the next two to three years. And we don't need a great economy to be accretive to EPS. We need a decent economy, and that's why we feel pretty good about this.
Brian Drab: Got it. Thank you very much.
Operator: We have reached the end of our question and answer session. I will now turn the call over to Renee Campbell for closing remarks.
Renee Campbell: Thank you for joining us today. A replay of this call will be available for playback on our website and by phone for the next seven days. We look forward to speaking with you again next quarter. This release contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on assumptions made by management considering its experience in the industry where Valmont operates, perceptions of historical trends, current conditions, expected future developments and other relevant factors. It is important to note that these statements are not guarantees of future performance or results. They involve risks, uncertainties, some of which are beyond Valmont's control, and assumptions. While management believes these forward-looking statements are based on reasonable assumptions, Numerous factors could cause actual results to differ materially from those anticipated. These factors include, among other things, risks described in Valmont's reports to the Securities and Exchange Commission SEC, company's actual cash flows and net income, future economic and market circumstances, industry conditions, company performance and financial results, operational efficiencies, availability and price of raw materials, availability and market acceptance of new products, product pricing, domestic and international competitive environments, geopolitical risks and actions, and policy changes by domestic and foreign governments. The company cautions that any forward-looking statements in this release are made as of its publication date and does not undertake to update these statements except as required by law.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.